Operator: Good morning, and welcome to the Altus Power Fourth Quarter and Year End 2022 Conference Call. As a reminder, today’s call is being recorded and participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. At this time, for opening remarks and introductions, I would like to turn the call over to Chris Shelton, Head of Investor Relations.
Chris Shelton: Good morning, and welcome to our investors and analyst. Speaking on today’s call are Lars Norell, Co-Chief Executive Officer and Dustin Weber, Chief Financial Officer. In addition, Co-Chief Executive Officer, Gregg Felton, will be joining us for Q&A. This morning, we issued a press release and a presentation related to the matters to be discussed on this call. You can access both the presentation and the press release on our website www. altuspower.com in the investors section. This information is also available on the SEC’s website. As a reminder, our comments on this call may contain forward looking statements. These forward looking statements refer to future events, including Altus Power’s future operations and financial performance. When using this call, the words expect, will, plan, forecast, estimate outlook and similar expressions as they relate to Altus Power as such identify a forward looking statement. These statements are subject to various risks and uncertainties and are based on assumptions that could cause actual results to differ materially from those predicted in these forward looking statements. Altus Power assumes no obligation to update these statements in the future or circumstances change. For more information, we encourage you to review the risks, uncertainties and other factors discussed in our SEC filings that could impact these forward looking statements, specifically our 10-K filed today with the SEC. During this call, we will also refer to adjusted EBITDA margin, which are non-GAAP financial measures. Our management team uses these non-GAAP financial measures to plan, monitor and evaluate our financial performance, and we believe this information may be useful to our investors. These non-GAAP financial measures exclude certain items, which should not be considered as a substitute for comparable GAAP financial measures. Altus Power’s methods of computing these non-GAAP financial measures may differ from similar non-GAAP financial measures used by other companies. More detailed information about these measures and reconciliation from GAAP to these non-GAAP financial measures is contained in both the press release and the presentation we issued today. Finally, our speakers today will reference our 2022 fourth quarter and year-end slide deck during their prepared remarks. We are providing this information to assist you in an understanding certain of the financial information we will be discussing today. And it should be viewed in conjunction with this call. And with that, I’m pleased to turn the call over to Lars Norell, Co-Chief Executive Officer of Altus Power.
Lars Norell: Good morning, and welcome to all analysts and investors who have joined us today. This earnings call mark the end of our first full-year as a public company, which launched our partnership with CBRE where we combine unrivaled access to closure real estate with industrial strength, clean electrification. While we’re busy laying the foundation for future growth, our 2022 results importantly demonstrate our ability to execute. Please join me on Slide 3 for details on our revenue, net income and adjusted EBITDA growth. During 2022, Altus Power earned record of over $101 million of operating revenue, predominantly from the sale of clean energy and clean energy aggregates that we generated during the year, 40.9% increase over full-year 2021, coupled with our efficient cost structure, we generated $58.6 million adjusted EBITDA for the fiscal year 2022, an annual increase of 42.9%. These results, evidence our focus on and ability to deliver one of our key missions, which is profitable growth. During 2022, we produced 456 million kilowatt hours of electricity, enough to offset almost 1800 railcars of coal burned or over 36 million gallons of gasoline present. Moving to Slide 4. Our focus remains on delivering benefits to our customers and continued profitable growth. Today, we’re issuing guidance for 2023 adjusted EBITDA in the range of $97 million to $103 million which at the midpoint would equal more than 70% growth over 2022. And we expect adjusted EBITDA margins in the mid to high 50%, we’re very energized with our accomplishments. And focused on our goal of growing profitably and to better assist analysts and investors with mapping out our expected adjusted EBITDA for 2023, we are providing an estimate for what we think of as the exit portfolio annualized rate for 2022 or exit par which was $79 million. To us, this number signifies both the embedded annual adjusted EBITDA potential of our client contracts and asset base that we stood on the last day of 2022. And also helps us quantify the size of the task to deliver on 2023 growth target. Today, I will briefly touch on some of the year’s achievements. I will also provide an update on our asset base and growth pipeline, highlighting the increasing velocity of our customer and partner engagement process as well as the growth of our construction capacity. Next, I will provide a brief recap of what we think is the core strengths of our platform which has been purposely built to withstand many of the challenges of the current market backdrop. I will then hand over to Dustin who will go through numbers in more detail after we look forward to taking your questions. Turning to Slide 5 and highlighting a number of accomplishments that we believe evidence our teams and platform’s ability to execute in environments that continue to offer varied set of challenges. During 2022, we serve customers across 22 states and pro form for our True Green acquisition which we announced in Q4 and closed in February this year, we’re now serving customers across 24 states. With clean energy made from large solar arrays that we own and operate. We’ve also grown our position as a dominant player in the community solar space where they now serve approximately 20,000 customers with clean energy in five states. Evidencing further, our ability to act capital at declining rates, we grew our investment grade term loan facility with Blackstone by $204 million. We also demonstrated our ability to access alternative loans funding by executing on $126 million bank facility with KeyBanc during 2022. In support of our acquisition, of customers and assets from D.E. Shaw Renewables. Lastly, we executed on a revolving credit facility with a number of large app banks. A very timely accomplishment given the recent banking crisis. And to reiterate, we don’t have relationships with any of the troubled banks, including Silicon Valley Bank, Signature Bank or First Republic Bank. We expect to make opportunistic use of this access to funding by continuing to source additional customers and assets and by continuing to allocate resources to our development and construction activities. And construction activities will be the last bullet on this slide. Following our previously discussed growth in customer engagement, we have reached a milestone in the roadmap that we had in construction and preconstruction. Which currently numbers over 50 projects, the highest in Altus Power’s history. Turning now to Slide 6. In our asset base and operation and pipeline of growth assets. Starting with operating growth, asset growth to the top left, while True Green is not closed and therefore removed from this pie chart, we’ve seen a consistent flow of additional opportunities that we consider sufficiently attractive to warrant allocating resources to you. To remind everyone on the call, why we’re still enamored to this part of our business? Altus Power’s mission is to buy, own and operate, assets that generates clean electricity and deliver it into enterprises, homes and vehicles under long term contracts. Stepping into 20 year plus contracts, even if they were originally created by partners of ours, is an effective and attractive way for us to fulfill this mission. Just like the customer engagements and assets we develop and build in-house, winning these assets falls to provide us the opportunity to grow customer relationships with additional solar, storage and charging. Moving on to the top right of this page in our development and construction growth pipeline of more than 500 megawatts. We continue to experience a steady flow of new larger customer engagements that come to us from our partners predominantly from CBRE. And we remain convinced that programmatic engagement with our customers and partners is the key to scale commercial solar. The bottom of this slide, you will see our asset base and operation as of February 15th of this year, which will update each quarter. A decline in asset additions that we expect during the year from our two sources of growth, the team looks forward to delivering on the growth of revenue and adjusted EBITDA that we’ve set forth in our guidance. Turning to Slide 7, I’d like to go into some detail of the significant progress we’ve made in streamlining the acquisition process for new customers as well as some widening of the scope of the services we’re signing up. One time consuming element of our client contracting process has always been agreement on the lease for the risk topic. Today, I’m pleased to share, we recently completed work in a form of master lease with both CBREIM and Trammell Crow Company which standardizes both the lease terms and other relevant parts of documentation for properties across all of CBREIM’s portfolio of owned real estate. Another step we’ve taken is to develop a programmatic playbook for the engaged onboarding of other stakeholders, for example, tenants. While this took some time to put in place, it will serve to increase the velocity of our origination efforts and make talent education onboarding easier for both Altus Power and our real estate lending partners like CBRE and Blackstone. We believe this will be a significant advantage for our go to market strategy and it’s an example of how we’ve evolved from a platform that was more focused on individual buildings to a company that is not growing programmatic relationships involving portfolio 5 to 50 megawatts at the time. Another highlight from our work with large property owners is their readiness, we introduced storage and charging for fleets and personal vehicles along with building based solar for the engagements we’re working on. This is my outcome. We think of as triple play and it’s accretive both to Altus and to our partners. Turning now to Slide 8 for an update on our construction capacity and center for Altus Power and together with our CBRE project management horsepower a key differentiator for our platform. We previously communicated additions to our construction platform in terms of staff and resources and we have continued to hire to bring the platform to the optimal level in order to construct and supervise the construction of the asset flow coming out of our engagement and contracting processes in our development pipeline as well as the due diligence and onboard of assets coming out of our operating growth pipeline. In addition, the previously announced augmentation of our construction platform with CBRE project management is beginning to be put into practice and show results on actual engagements. Our deliberate addition to resources as well as partnership with CBRE’s construction platform enable us to be in construction or pre-construction on over 50 projects right now, which is not a major improvement over this time last year but also company record. I want to conclude on Slide 9 with some highlights before handing the call over to Dustin. We view 2022 as a successful year and feel confident of our position at the start of 2023 for a number of reasons. One, our business generates cash, which we plan to reinvest into more clients and assets. Two, we have proven our ability to execute the launch of operating acquisitions and to expand our customer base significantly. Three, we have demonstrated our ability to fund our business with multiple high quality counterparties in challenging markets. Four, we are increasing our construction capacity to accommodate this inflow opportunities in particular from CBRE and its clients. And finally five, our assets in operation and asset growth together with a disciplined approach to SG&A expenses produce results in the form of growing adjusted EBITDA, which we think is the most important measurement of our performance. Thank you for your time today. And I’ll now hand the call over to Dustin.
Dustin Weber: Thanks, Lars, and thanks to our investors and analysts for joining the call today. Please join me on Slide 10 as I cover our financial highlights. Starting with fourth quarter, our revenues grew to $26.8 million compared to $21.6 million in fourth quarter 2021, an increase of 24%. For the full-year, we achieved a record $101.2 million of operating revenues up from $71.8 million in 2021. Both fourth quarter and full-year operating revenue growth were driven primarily by additions to our portfolio. Turning to GAAP net income for the quarter, we posted $67.1 million compared to net income of $14.5 million during fourth quarter of 2021. This increase was primarily the result of a non cash gain of $71.5 million from the fair value re-measurement of our redeemable warrants and alignment shares. This same re-measurement was also a driver for our net income for full-year 2022, which amounted to $52.2 million compared to 2021 full-year net income of $13 million. Because of the warrant exchange we completed in October, this will be the last quarter we record a re-measurement of our redeemable warrant liability. You should continue to expect quarterly mark-to-market of our alignment shares, which will largely be dependent on the change in our share price during the period. Moving to adjusted EBITDA, we reported $16.6 million for fourth quarter of 2022 compared to $12.9 million in fourth quarter 2021, amounting to growth of 29%. For the full-year, we reported $58.6 million compared to $41 million last year, again driven primarily by additions to our portfolio partially offset by increased G&A expense. We are pleased to report that our adjusted EBITDA margin amounted to 58% during 2022 compared to 57% in 2021, meeting our guidance expectations for the year and also demonstrating our cost discipline on a year-over-year basis. To summarize our results, fourth quarter capped a successful 2022 for Altus Power. We’re pleased to admit our guidance issued last March on both adjusted EBITDA and adjusted EBITDA margin. Achieving results within this guidance range during our first year as a public company demonstrates our ability to execute on our growth plan, which is a track record we aspire to grow along in the future. Turning to our new 2023 guidance. As Lars highlighted, we’re forecasting another year of strong growth of adjusted EBITDA in the range of $97 million to $103 million which reflects our expanding customer relationships and highlights our commitment to profitable growth. There are three primary sensitivities we consider when setting our guidance range. The first is the continued growth of our portfolio through asset additions; second, are the variations from historical irradiance on our operating portfolio and third, is the timing of increases to our G&A expense line. As you dive deeper into your quarterly models for the year, you’ll recall that seasonality that our first quarter is historically our least generative in terms of solar resource, while second and third quarters have historically been much more impactful. We expect 2023 will be no exception. In addition to our 20 23 adjusted EBITDA guidance, We’re also guiding to adjusted EBITDA margins in the mid to high 50s, which we believe strikes the right balance between profitability and investing in our platform to facilitate our future growth. We plan to update you on our progress on future quarterly calls. Moving to the summary of our balance sheet. Total debt at the end of 2022 was $665 million. Our balance sheet at year-end remained well capitalized of $183 million of cash on hand, making our net debt figure of $472 million. We continue to be comfortable with our cash and overall liquidity position, particularly in light of our new revolving credit facility. Our current growth plan calls for capital from borrowings under existing debt facilities, third party tax equity investors, cash from our balance sheet and importantly cash provided by operations. Cash from operations totaled $35 million in 2022. This is something we haven’t highlighted previously, but is noteworthy particularly in a current environment, setting us apart from many other companies in our sector and providing us an important source of additional capital. Since our third quarter call, we have closed on a number of new sources of debt capital at fixed rates we believe are attractive, particularly in comparison to current market rates. We press release most of these details prior to today, but Slide 10 provides us a succinct summary. Our philosophy to utilize long-term fixed rate financing to match our investment and long duration assets to dedicate our recent bank loan and Blackstone term loan financing. In addition to these new term loan financings, we’ve added flexibility to weather volatility in market by closing our revolving credit facility. The revolver was undrawn as of year-end, but will be used as we take delivery of equipment in an effort to expand our construction capacity. Finally, one new addition to this list is that we’ve recently executed an interest rate hedge designed to fix our next $250 million of borrowings at 10 year SOFR reference rate of 3%. We initiated this hedge to provide certainty on financing rates for our origination team as they underwrite new customer contract, investment opportunities during a turbulent period in the broader interest rate environment. To summarize, we delivered on our financial plan in 2022 by meeting the forecast we laid out this time last year. We’ve initiated guidance for 2023 with adjusted EBITDA growth of over 70% underpinned by meaningful asset additions throughout the year. And we’ve put in place flexible financial architecture to support our growth and insulate us from volatility in financial markets. Thank you for listening to my prepared remarks. We are now ready for your questions.
Operator: And at this time, we will be conducting a question and answer session. [Operator Instructions]. Our first question comes from the line of Justin Clare with ROTH MKM. Please proceed with your question.
Justin Clare: Yeah, thanks for taking our questions.
Lars Norell: Absolutely.
Dustin Weber: Hi, Justin.
Justin Clare: So I guess first off here, I was wondering if you could just bridge the 2022 year-end portfolio run rate for adjusted EBITDA that you presented here in the 2023 guide for adjusted EBITDA. And maybe if you could give us a sense for how much of the growth in adjusted EBITDA could come from the 220 megawatt acquisition that you already completed versus how much is assumed to come from additional assets. It just looks like the contribution from the acquisition could get you fairly close to the guide to a lot of understanding assumptions and what could come from the additional assets?
Dustin Weber: Hey, Justin. This is Dustin. I’ll take this one. Yes, thanks for the question. And thanks for highlighting the new disclosure that we have with exit PAR. We think that provides a nice reference for a starting point of what our EBITDA is for the asset base that we had to end the year. You highlighted True Green as closing and thanks for acknowledging that. We’re happy to close that in Q1 which, of course, will only add to that exit PAR as it relates to how we’re going to bridge to our 2023 guidance of $97 million to $103 million. I think in addition to True Green, some other drivers that are going to impact that bridge are going to be additional assets that are going to come on 2023 and contribute to our realized adjusted EBITDA number. And then I would say the other component there is increases in our G&A expense, which we’re going to do just to reinvest in our platform and facilitate future growth.
Justin Clare: Okay, great. Thanks. And then just on assets that are in your pre-construction and construction phase here. I was wondering if you could talk through when those assets could be completed? Do you have COD dates expected for 2023 and 2024. And maybe just provide an update on the bottlenecks that you’re seeing. I know interconnection and permitting as well as supply chain have been challenges how are those issues evolving?
Lars Norell: Sure. Thanks, Justin. This is Lars. The pre-construction in construction bucket on Page 5 of the slide deck, which stands at 328 million megawatts right now, [indiscernible] 25%. Some of those deals are in pre-construction, they’re not actually in construction, but many were most are in construction. And those are some of the asset additions that we will see or expect to see going to operation this year and basically bridge the gap between not only the exit PAR number that you highlighted, but effectively the exit PAR number plus the True Green contributions for this year. And while you might think an say wait a second, aren’t you guys already there? There remains some work to do to put those construction assets into operation. And as everyone following, our LinkedIn, Instagram, or Facebook posts have been seeing, we’re having deals come out of that construction bucket and get turned into operation. And several more are in very near stages of coming in. So those will be part Justin of the guidance number of $97 million to $103 million. As for the delays, you’re absolutely correct or the challenges, shall we say, construction market. Let us make two points. There are things that we can control like solar module availability or components or engineering and construction staff resources in the office and in the field. And we have been and continue to be very focused on adding resources and doing things like keeping inventory of components even if it costs up to more in working capital. And second, for things that are to some extent outside of our control, like the exact timing of permitting, which we can tell you by the way from our interaction with building apartments across the country, has still not returned to pre-pandemic time lines. [Technical Difficulty] workarounds by putting more assets into the permitting cube and interconnection application processes to make sure that we can increase the flow of assets that make it through and that we can start construction on to ultimately have get turned into operation and contribute to the EBITDA. That’s our sense on that score right now.
Justin Clare: Okay, great. And just one more. We did get guidance from the treasury on the IRA bonus matters for energy community and low income communities as well. Just given the guidance provided can you give us a sense for what your average or weighted average tax credit might be for those assets that are in pre-construction and construction and just maybe just speak to the overall opportunity and what your access to the tax credits could be?
Gregg Felton: Sure. This is Gregg. I’ll take that question. So we are incredibly well positioned by virtue of the mix of assets in our pipeline to benefit from the so called adders and just level set, there’s now a 30% baseline investment tax credit on all of the projects that we are building today. The adders that Justin is referring to relate to 10% additional adder for domestic content, 20% initial additional adder for low and moderate income customers, 10% adder for building on a brownfield landfill etcetera. So these adders, there is some level of visibility and we feel really good about again the mix of assets that we have, for example, the community solar projects in our pipeline are significant. The particular process as it relates to applying for and receiving those credits is still a work in process by the government. And so they have not yet put out the framework for the application, but we’re well positioned to participate in those adders as and when we have a little more clarity on the process. So we can’t as a consequence of the process that’s out there, Justin, to give you an exact number to sort of model. But what we would say is that we are absolutely focused on taking advantage of those opportunities.
Justin Clare: Okay. Great. That’s all for me. Thank you.
Operator: Thanks. And our next question comes from the line of Mark Strouse with JPMorgan. Please proceed with your question.
Mark Strouse: Yes, good morning. Thank you very much for taking my questions. Just wanted to follow-up on Justin’s question about the EBITDA bridge this year and trying to get a sense of the magnitude of the SG&A investments. Are you able to specifically comment on SG&A or maybe if you’re not able to do that, can you say whether or not the True Green acquisition if those margins kind of aligned with the corporate average?
Dustin Weber: Hey, Mark, it’s Dustin. Yes, I can’t speak specifically about planned G&A expenses from $20.2million to $20.3 million. We ended 2022 at $25 million and I know the growth rate from 2021 in front of me, but I think like we said time and time again that we are very focused on making sure that we are our budget is right-sized to both the assets that we have in service as well as the community set that in front of us for which we’ve highlighted that we’re seeing a lot of flow there and it’s growing. So, I think it’s safe to assume that we’re going to increase the budget and we’re going to be thoughtful about it. It’s in our DNA to make sure that we’re growing profitably and we’ll continue to do that.
Lars Norell: And we can add -- this is Lars -- we can add that you should be able to back into what we estimate will be budget increases approximately at least. Give them reaching certain goals for EBITDA and the way you can get there versus profit margin.
Mark Strouse: Okay. It kind of following on that line, the EBITDA margin percentage, excuse me, percentage targets that you laid out at the time that you were going public. Is that still kind of the way that you’re thinking about this business over time or has something structurally changed? And in any color you might have on kind of not sticking to specific 2024 guidance or anything like that, but just kind of general timeline to when you expect to get there?
Gregg Felton: Yes, it’s a great question. Mark, thanks for that. This is Gregg. There is inherent operating leverage in our business and of course, there’s an incredible growth opportunity as well. And so I think what you just heard Dustin speak about is the fire to invest in the growth of SG&A to support the accelerating growth that we’re seeing. And so what’s very interesting about your question is that we are today absolutely starting to see the benefits of scale and there’s something of a network effect, which produces both a revenue opportunity from our growing asset base and our customer base and also a cost savings opportunity from our growing national footprint. And all of that translates into the opportunity to increase the margins. And so we feel good about the margin potential of our business. And of course, what we determine on an annual basis is how much we want to grow our SG&A to support the growth opportunity in our business, which is significant.
Mark Strouse: Okay. I’ll take the rest offline. Thank you very much.
Gregg Felton: Thank you.
Operator: Our next question comes from the line of Chris Souther with B. Riley. Please proceed with your question.
Christopher Souther: Hey, guys. Thanks for taking my question here. Just following up on that appreciate the breakout on that exit PAR and, you know, the visibility that you guys are calling out there on this year’s growth. But I want to clarify. So if the portfolio is growing, you know, 44% as of you know, February 15th. Can you kind of walk through True Green acquisition kind of a lower revenue. I guess based on the purchase price of assuming, you know, it’s kind of low revenue that kind of the overall portfolio and can you just kind of provide little more color there to what the impacts of that is on that, you know, additional visibility that we’re getting.
Gregg Felton: Sure. This is Gregg. I’ll take that. So each of our opportunities that we pursue, whether it’s a new construction opportunity or an acquisition opportunity, we are focused on the returns that that investment opportunity can generate for our investors. And those returns are naturally thought about as we’ve talked before in internal rate of return, levered returns, unlevered returns. And so in the case of True Green, when you think about that acquisition, naturally, there’s an interplay between the price we pay and the revenues associated with the assets we acquire. So I just want to be clear that it is difficult from time to time to look at one portfolio or one asset relative to another in terms of revenue. But the returns you should assume are substantially similar in terms of what capital we’re investing and the returns we expect to achieve out of those assets. Now in terms of the particulars of True Green, it is of a size of acquisition that we will have pro form a financials filed, Dustin when do we expect to be those on file?
Dustin Weber: Yes, it’ll be right around the end of April and or the first week of May. Will be filing an historical financials and in the pro form information -- pro form the acquired entity alongside ours for 2022.
Gregg Felton: But I think that you’ll get more specificity obviously on the particular financial profile, but what you’ll see there is something that is substantially similar to every asset that we would onboard, which is to say the returns are attractive and consistent with what we’ve done historically. And we can, of course, catch up with you offline and walk through any particular additional model questions you have.
Christopher Souther: Got it. That’s really helpful and that makes sense completely what you talked about, but maybe just on kind of the acquisition market, obviously, there’s, you know, the mid to great, you know, movements in kind of cost to build out new project? I’m just kind of curious what you guys are seeing in the acquisition market. It looked like, you know, last quarter was really impressive where you’ve reloaded the kind of in closing kind of bid and that didn’t seem to happen here this quarter. But I’m curious what you guys are seeing in that potential acquisition bucket and what the discussions are like at this stage?
Gregg Felton: Yeah. So a couple of things here. You’ll see that in our inclosing bucket, having just closed the True Green acquisition in Q1, we are there’s a handful of deals -- smaller deals that we’re currently pursuing closing out. But there’s a very large pipeline, as you alluded to, of new opportunities, both in early engagement and in negotiation phase. And we think that the environment is incredibly favorable to Altus Power. If there’s one point that we want to make sure that we get across is that we are positioned here as the only pure play public company as you know in this space in an environment where the current market environment is creating enormous challenges for many market participants and that plays to our advantage. We have obviously both access to significant capital and attractive cost of capital and a very successful proven track record of executing. So we have enormous credibility with counterparties as it relates to what we can deliver. And because of our solid foundation and position in the market, and because of frankly the challenges that others are facing, we think it’s becoming very much a buyer’s market where we’re moving into a mode where it’s a buyers marketing. So we think that will play to Altus’ advantage. So we’re in a good spot and we look forward to updating you further on how things progress in terms of the acquisition opportunity set.
Christopher Souther: Got it. And then maybe just my last one around Community Solar. I know you guys have talked about it throughout having unique ways of kind of accessing customers. Could you just kind of talk about you know, strategy there, like, you know, starting to play out here, I think would be helpful.
Lars Norell: Sure. This is Lars. So again, for everyone’s benefit Community Solar is where we merge effectively large commercial partners with real estate where we build large solar arrays on roofs or parking lots of big box buildings or investor facilities or logistical facilities. But instead of selling the power back into the building, we’re selling into the surrounding community, including household. And specifically focus on ours and our focus on the inflation reduction work, including households that are low to moderate income, which is something that both of our strategic sponsors, CBRE, Blackstone are very focused on and many of our other corporate real estate partners as well. We’re happy to there also be executing on our plan, which is to add clients and assets and we now serve plus over 20,000 Community Solar to residential homeowners. And one of the interesting aspects of Community Solar is that there are significant potential to make those deals slightly more cost effective and efficient having a lower cost origination process. And there, we’re beginning to see some fruits coming out of our digital effort. We’re in partnership with CBRE and Blackstone. We’re now offering Community Solar subscription to their employees, courtesy of our app that’s on the iPhone and the Android system. And that’s an example of an onboarding process and effectively connecting with customers that we use to hire outside providers to do. And now we’re able to do it in house and with the support not only of our partners, but with our emerging digital platform into those cost savings go directly to the yield and a lowering expenses for Dustin and the OpEx as well as our profit margin. So we’re very happy. We’re looking forward to do even more on Community Solar, but that’s just an example of what we’re busy executing on right now.
Christopher Souther: Appreciate all the color there. Thanks. I will hop back in the queue.
Operator: And we have reached the end of the question-and-answer session, which also concludes today’s conference. And you may disconnect your lines at this time. Thank you for your participation.